Operator: Good day, ladies and gentlemen, and welcome to the Axcelis Technologies Call to discuss the company's results for the Fourth Quarter and Full Year 2020. My name is Jerome and I will be your coordinator for today. At this time all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of the conference. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Mary Puma, President and CEO of Axcelis Technologies. Please proceed, ma'am.
Mary Puma: Thank you, Jerome. With me today is Kevin Brewer, Executive Vice President and CFO; and Doug Lawson, Executive Vice President of Corporate Marketing and Strategy. We are all participating in this call remotely. So, I would like to apologize in advance for any technical difficulties. If you've not seen a copy of our press release issued last night, it is available on our website. Playback service will also be available on our website as described in our press release. Please note the comments made today about our expectations for future revenues, profits and other results are forward-looking statements under the SEC's Safe Harbor Provision. These forward-looking statements are based on management's current expectations and are subject to the risks inherent in our business. These risks are described in detail in our Form 10-K, Annual Report and other SEC filings, which we urge you to review. Our actual results may differ materially from our current expectations. We do not assume any obligation to update these forward-looking statements. Good morning and thank you for joining us. As a result of the strength of the overall electronics market and the growth of the Purion product family in 2020, Axcelis delivered its highest annual revenue in the last 15 years. To achieve this, our employees managed through many difficult logistical challenges brought on by the geopolitical environment and the continuing pandemic. I'd like to thank our employees for delivering these results while continuing to serve our customers and adhering to safety protocols. This challenging environment has continued into 2021, but despite this, we are planning for another year of growth at Axcelis. The semiconductor industry is forecast against strength across all markets and the Purion product family is poised for significant growth. Our fourth quarter financial performance was in line with our updated increased guidance. Revenue for the fourth quarter was $122.2 million with earnings per share of $0.43, gross margins of 43.4% and [ph] inherent cash balance of $204.2 million. EPS was favorably impacted by previously unrecognized tax benefit of $0.11 per diluted share. For the full year 2020, revenue was $47.6 million with an EPS of $1.46. Our aftermarket business or what we refer to as CS&I, once again contributed significantly to our revenue and gross margin. CS&I revenue was $68 million in Q4 and $181 million for the full year 2020. This strong performance was a result of high fab utilization, the growing Purion install base and additional buying activity from one customer as a result of the current geopolitical situation. The growing mature process technology market continues to be an area of strength for Axcelis, with 75% of Q4 shipments going to mature foundry logic customers. The other 25% led to memory customers with NAND accounting for 15% and DRAM 10%. For the year, the mature process technology market accounted for 71% of shipments with memory accounting for 29%. China continues to be a strong market for Axcelis. The geographic mix of our system shipments in the fourth quarter was China 56%, the U.S. 20%, Korea 18% and Taiwan 6%. For the year, our geographic split was China 54%, Korea 28%, the U.S. 5%, Europe 3%, Japan 2% and Taiwan 8%. We expect that memory market will improve in 2021. But as a result of the continued growth in the mature markets and the strength of Axcelis's product offerings in these segments, we expect that the mature markets will account for approximately 60% to 70% of our total shipments in 2021. During the fourth quarter, the U.S. government placed Chinese foundry customer FMIC on the entity list. Meaning that licenses are required for all Axcelis U.S. shipments to FMIC. We have applied for licenses and are prepared to ship these tools against customer requirements in the first quarter. As a result of the uncertainty related to these licenses, we are providing wider than usual guidance. For the first quarter, we expect revenue of between $118 million and $138 million, gross margins of approximately 40%, operating profit of between $11 million and $19 million and earnings per share of between $0.22 and $0.42. Continued growth of Purion products is the key to achieving our long-term business models. We shipped the first Purion 200 revenue tool to second customer for use in power device manufacturing. The power device market is a critical market for Axcelis. And targeted Purion products for silicon-carbide including the Purion H200 will play a key role in increasing our customer base and revenues in this segment. We currently have six Purion evaluation tools in the field focused on supporting growth towards our $650 million business model. During the first quarter, we expect to close one of these evaluations and ship an additional new one, resulting in a balance of six evaluation systems in the field as we head into the second quarter. Before Kevin reviews the financials, I would like to summarize four key takeaways. First, the mature process technology market is very strong and growing, and Axcelis is the ion implant market leader in this segment. Second, memory is expected to recover in 2021 and will be additive to our strong mature process technology performance. Third, China will continue to be an important market for Axcelis driven by many customers, both domestic and multinational. And fourth, the Purion product family is extremely well positioned to support future growth and our $650 million business model. Now, I'd like to turn it over to Kevin to discuss our financials and some operational details. Kevin?
Kevin Brewer: Thank you, Mary and good morning. Axcelis delivered exceptional fourth quarter and full year 2020 financial performance. Thanks to the continued outstanding work of our employees and supply chain partners. Strong execution across the board and significant leverage in our business model delivers 140% increase operating profit and revenue growth of 38%. During this ongoing pandemic, the health and wellbeing of our employees remains a top priority. We are doing our best to create a safe work environment for everyone at Axcelis. Pandemic related protocols that were implemented during 2020 remain in place with 2021. Our pandemic response team will continue to closely monitor these actions and update as required. We remain focused on our target business model and expect 2021 to be another growth year for Axcelis. We will continue to invest in product, the evaluation tools and infrastructure needed to support our $650 million target model. Turning to fourth quarter and full year financial results. Q4 revenue finished at $122.2 million and above our updated guidance compared to a $110.4 million in Q3. Q4 system sales was $64.3 million compared to $70.3 million in Q3. Q4 CS&I revenue finished at $58 million compared to $40.2 million in Q3. The unusually high CS&I revenue in Q4 was driven by fab utilization, a growing Purion install base and significant buying in the quarter by one of our customers. We expect Q1 CS&I revenue of approximately $42 million and we recommend modeling at this quarterly level for 2021. Full year 2020 revenue was $474.6 million, compared to $343 million in 2019, an increase of 38%. Systems revenue was $293.6 million, compared to $202.6 million in 2019, an increase of 45%. CS&I revenue was $181 million, compared to $140.4 million in 2019, an increase of 29%. Q4 sales from our top 10 customers accounted for at 81.5% of our total sales compared to 76% in Q3. These customers were 10% above in Q4 but same as the Q3. For the full year, 74% of revenue came from our top 10 customers with two at 10% and above. Q4 system bookings were $131.5 million compared to $26.4 million in Q3. Our Q4 book-to-bill ratio of 1.98 versus 0.37 in the Q3. Backlog in Q4 including deferred revenue finished at $93.2 million compared to $45.1 million in Q3. Q4 combined SG&A and R&D spending was $38.9 million or 31.8% of revenue compared to $34.3 million or 31% in Q3. Q4 combined SG&A and R&D spending was higher than the forecast primarily driven by variable compensation expense. SG&A in the quarter was $22.6 million with R&D of $15.3 million. In Q1, we expect SG&A and R&D spending to be approximately $36 million and we run at this level through remainder of 2021. Q4 gross margin was 43.4% and above our updated guidance. Q4 gross margin was driven by higher than forecast CS&I revenue and continued cost out activities. Full year gross margin was 41.8% compared to 42% in 2019. We're guiding Q1 gross margin of approximately 40% driven by a less favorable mix of products and enclosure of an evaluation system. Gross margins will fluctuate quarter-over-quarter based on product and customer mix, the number of evaluation tools owned and a percent of revenue contribution from our entire creative CS&I. We've made solid progress in gross margin through several initiatives, new Purion product extensions and growth in our CS&I business. Our target model reflected additional gross margin improvement from incremental volume, higher sales of Purion product extensions, we continued to save in some lean manufacturing and value engineering. Operating profit in Q4 finished at $14.1 million compared to $13.9 million in Q3. Full year operating profit was $68 million, an increase of 140% compared to $24.2 million in 2019. We are guiding Q1 operating profit of between $11 million and $19 million. Q4 net income was $14.7 million or $0.43 per share, compared to $10.8 million or $0.32 per share in Q3. Net income and EPS were favorably impacted by a previously unrecognized tax benefit of $0.11 per diluted share. Full year net income was $50 million or $1.46 per share, compared to $17 million or $0.50 per share in 2019 resulting in a greater than 190% year-over-year increase, regarding Q1 earnings per share of between $0.22 and $0.42. Our Q1 guidance reflects our current assessment of the potential impact on our business from the Coronavirus and the export control situation with a specific customer in China, which we will continue to closely monitor. Q4 cash finished at $204.3 million compared to $212.7 million in Q3. We announced $100 million share repurchase program for 2021. Q4 receivables were $86.9 million, compared to $45.2 million in Q3. Q4 inventory ended at $161 million compared to $159.7 million in Q3. Q4 inventory trends excluding evaluation tools finished at 2.0 compared to 1.8 in Q3. Q4 accounts payable was $24 million compared to $24.3 million in Q3. We finished 2020 with strong momentum and are excited about the prospects of recovery in the memory and automotive market. We continue to make the necessary investments in our products and the infrastructure needed for our $650 million target model. Our customers continue to have high expectations for our Purion product, which we intend to achieve. Thank you and I'll now turn the call back to Mary for closing comments.
Mary Puma: Thank you, Kevin. We are pleased with our fourth quarter financial performance as well as our exceptional overall performance in 2020 and are looking forward to another year of growth in 2021. Axcelis has a competitive Purion product line, a broad and diverse customer base, a strong balance sheet and a dedicated team of employees. These are the strengths that will continue to drive our growth toward our $650 million model and ultimately to a market leadership position in ion implantation. With that, I'd like to open it up for questions. Jerome?
Operator: [Operator Instructions] Your first question comes from the line of Patrick Ho with Stifel. You may now ask your question.
Patrick Ho: Thank you very much, and congrats on a really nice finish to the year and the outlook for '21. Mary, maybe first off in terms of the market environment. You're talking about the memory recovery in '21. Compared to three months ago, do you see the magnitude of that memory recovery being close to greater than it was three months ago? And I guess, how does that essentially impact from their standpoint the wafers that are build out, as well as how many tools you maybe shipping to the memory market in '21?
Mary Puma: Okay so Patrick, we've been saying now for quite a while that we expect a recovery in memory in 2021. I think if you take a look back, if you remember in Q3, we actually shipped no systems to the memory - to any memory customers. In Q4, that had increased to 25% and we're actually saying that we expect memory to account for 30% to 40% of our system's revenue in 2021. And that's in comparison and up from 29% which is where we ended for full year 2020. So, we are starting to see some signs of the memory recovery and we expect it to continue throughout the remainder of the year. Doug, I don't know if you have anything you want to add to that?
Doug Lawson: Sure, thanks Mary. Patrick, the recovery that we're seeing in this past quarter is 15% and 10% for DRAM and NAND and we expect we're seeing activity on both fronts, both NAND and DRAM. And so, as we've been saying about this particular memory recovery, we see it as more of a longer-term couple of year kind of recovery versus what we saw back in '17 and '18 where it was steep. There'll ultimately be more area under the curve in terms of growth as a result and we're poised to do well there with our position. The percentages of memory versus maturity in our projections are primarily due to the fact that the mature markets are just so active right now and that's become a much bigger piece of our business compared to what it was back in '17, '18 timeframe.
Patrick Ho: Great that's helpful. And maybe as my follow-up question for Kevin, in terms of your working capital management. AR obviously is a little bit up which may highlight some of the linearity but you're also building some inventory. Have you run into any supply constraints on your end as you're preparing for a higher level of shipments this year? Any supply constraints or issues on that front in procuring parts?
Kevin Brewer: Yeah, so thanks Patrick, it's a good question. So, I would say the supply chain constraints are what they've been for most of 2020 with the pandemic. Things were tight. We've continued to drive inventory probably a little ahead of what we needed to be. So, that we're not waiting for long lead material. And as things kind of tightened up in different parts in 2020, we were able to move things around a little bit. We do have income pace with multiple suppliers. So, it's about the same now. I think the pandemic related issues are improving, but as you point out the industry is ramping. So, there's an additional pressure coming for a different reason now, but all-in-all, I would say it's above what we had deal with last year, so I don't expect any issues. We're keeping up with what we need to do this year ramping.
Patrick Ho: Great, thank you very much.
Kevin Brewer: Yeah, thanks Patrick.
Operator: Your next question comes from the line of Craig Ellis with B. Riley Securities. You may now ask your question.
Craig Ellis: Thanks for taking the questions and congratulations on a real strong 2020 and finished the year clean. So, I just wanted to start with a near term question. It's clear that the company believes that CS&I will move backwards to that $42 million level. But within the memory and mature foundry business can you just characterize some of the gives and takes for the first quarter? And help us understand how DRAM versus NAND might be performing to start the year?
Mary Puma: Okay so…Go ahead Doug, you can take it if you like.
Doug Lawson: Okay, sorry about that. So, Craig, we're seeing activity on both fronts and as we're more dependent on wafer start additions and so we're seeing activity from both sides, relatively evenly in the fourth quarter from - as we look at the first quarter, we're seeing activity in both fronts. So, it looks good. From a mature standpoint, the mature markets are very active, have been throughout the 2020 and continue and we don't see that slowing down in 2021. So,
Craig Ellis: That's helpful. And then maybe…
Mary Puma: Yeah, and Craig if you want…
Craig Ellis: Go ahead Mary.
Mary Puma: No, I was just going to give a little bit more color on the mature markets. So, last year image sensor and the general mature foundry business was very strong and it continues to be into 2021. Automotive showed weakness, but we do see it recovering. And that's going to be positive for the power device market which is going to be positive for Axcelis. And then as Doug said, we're seeing activity on both sides of memory. So, it's we're getting to the point where we see most of our markets and market segments beginning to hit on full cylinders.
Craig Ellis: That's great. And then longer-term, the company commented on memory being 30% to 40% of systems. Can you just characterize the demand visibility that you have through calendar '21 in different parts that mature foundry and with DRAM and NAND specifically so we can get a sense of how far out order visibility extends now?
Mary Puma: Yeah, I mean, I think we've very good visibility into the first half of the year and things are starting to become clearer moving into the second half of the year. But we are seeing changes in terms of customer timing both pull-ins and some delays in some cases not really because of the market I think, what I would say I would characterize it mostly as some slight delays in fab readiness. So, we expect, that's normal for us. So, I don't think we're seeing anything is necessarily out of the ordinary at this point in time. So, as I said, first half visibility good, second half starting to improve and I think customers do realize that given the ongoing challenges with the pandemic and in some cases the geopolitical situation, they may need to walk in on their forecast and notify suppliers maybe a little bit sooner than they normally would just because they want to make sure they get in the queue for their systems given some of the lean times that are out there right now. Kevin just commented that things seem to be manageable at this point in time. But you add a ramp on top of the pandemic and you can get some issues at some point moving forward. So, customers are aware of that.
Craig Ellis: Absolutely, and then one final one before I hop back in the queue. It's a multi-parter and more in the political round. But first part of it would be, can you apply just any color on the optics that you have into the license granting process and then on the other side of that? I think it was within the last two days that a number of the very large U.S. chip companies were speaking to the new administration and really expressing the need for a lot more federal government help, building out the U.S. chip supply industry. If something were to happen in that regard, what would it mean for Axcelis?
Mary Puma: Well, we're monitoring all the geopolitical situation and the issues obviously on an ongoing basis and so, we've got our legal counsel watching it carefully. We're working with outside trade attorneys; we're very involved with semi our industry trade group to make sure that our voice is heard as well as to better understand the situation. Obviously, investment in semiconductor fabs would be a positive thing and in the U.S., we would love that. We think that that would be a real upside for the U.S. government, the country and for Axcelis. In terms of some of the other geopolitical issues, there's really not a lot to say about what's going on with the licenses. I think, that's maybe what you're poking at a little bit Craig. We've applied for the licenses. We're prepared to ship systems and parts against customer requirements as soon as we receive the licenses. And we just haven't heard anything back yet. As far as we understand, we don't believe that anything significant has changed based on the change in administration. But again, we're basically just waiting.
Craig Ellis: That's helpful. Thanks so much, Mary.
Operator: Your next question comes from the line of Christian Schwab with Craig-Hallum. You may now ask your question.
Tyler Burmeister: Hey, guys, this is Tyler on behalf of Christian, thanks for letting us ask couple questions. First question, I think you alluded to it, but maybe a little more color. What's your expectation as far as the timing of the memory recovery through the year? Are you expecting kind of a step up here in Q1 or just a gradual permit this year, any color on timing would be great?
Mary Puma: I don't think we necessarily have, enough visibility I mean, I just alluded to the fact that there's visibility in Q1 that leads us to believe that there is a memory and we have visibility into the first half - I'm sorry, and which leads us to believe that a memory recovery will occur in 2021. But we don't - I don't really - we just don't have a view at this point in time. And we're not really going to forecast that in terms of putting numbers around it. So, as I mentioned before, we're seeing an improvement in the percentage of systems that we're shipping out to memory customers. And we do expect that as a percent over the course of the year to increase versus last year, so 30% to 40% versus 29%. But in terms of the timing, we're just going to continue to watch - talk to our customers and watch the trends in the market.
Tyler Burmeister: Understood, that's very helpful. Second question, then. I believe previously your comments were that at some point in 2021, you expect to reach a run rate of your $550 million annual model. So, I guess, given worth Q1 has guided expectations for improving memory market and improving automotive market, I'm wondering if it's reasonable to think that the full year '21 kind of the close to your approach to that $550 million annual target?
Kevin Brewer: Yeah Tyler, it's Kevin. So, obviously, it's in our line of sight right now with the guide we just gave to move on. You're right, we had kind of been saying at some point with the run rate in 2021 and then 2022 event and we're not providing full year guidance at this point. But as you point out and as I just said, it's in our line of sight at this point. And the 650 model continues to say is a couple years after the [Indiscernible] But obviously, we're setting up well coming out of the gate if you will.
Tyler Burmeister: Sounds great. Very helpful. That's all for me, guys. Thanks.
Kevin Brewer: Thank you.
Operator: Your next question comes from the line of Tom Diffely with D.A. Davidson. You may now ask your question.
Tom Diffely: Yeah. Good morning. Thanks for the question. Mary, you said that you expect to close one of your eval tools during the quarter. And I'm wondering what is your thought as far as the process of starting to ramp up production tools based off of the eval over the next few quarters?
Mary Puma: I think the prospects are actually very good. I will actually say that for this evaluation, we have already shipped some repeat orders to that customer prior to the evaluation closing. So, we definitely have been selected as PTO for this specific application. We've shipped some repeat tools, and we expect to ship some additional tools moving forward.
Tom Diffely: Great. And then Kevin, when you look at the margin profile, how big an impact does both the closing of the eval tool have on the margin in the quarter? And then we look at the top and the bottom of your guidance range, what is the impact on the margins there?
Kevin Brewer: Yeah, so I mean, eval volumes have a negative effect. Some of the evals have higher costs and others don't so that certainly moves in a number of the eval. And I think what's going on in Q1 is that the evals going now, we've also got a higher mix of high current tools gone out which overall is good for the company, because that's a large market and that's one of the areas we want to continue to grow in this high current. But maybe that could help you a little bit more. If I look at the full year right now Tom, I'm seeing full year gross margin in 2021 similar to what they were in 2020. And that includes a number of evals for analysis, as Mary says, we've got, so one closed not only going out with six, and I think as you recall, typically, we would have two or three. So, we've been saying for the last couple of quarters is a high number of evals and more going. So, those are sitting in on the margins. And the other thing, we're going to see a lot of growth this year coming from systems versus CS&I, right. So, as the systems grow next year in CS&I, that can pressure things a little bit. But the good news is, what all are there in the growth in systems, all these evals, I put this point, we expect gross margins for year to finish similar to last year. And our target model is 42 to 43, on 550. So, we're just off of that a tiny bit. And if you look at, try to do the math and figure when I get there, and I think about cost initiatives, maybe we get there a little bit sooner than we thought, some of these initiatives still have to kick in. So, from a gross margin point of view, I feel really good where we are right now. And expect this year to continue to drive cost out and get the value in kind of a more Purion product extensions, and those are all things we need to get to our model. And then the 650 model, the margins are up to 44 to 45. And that's a couple years later. So, we're - again, we're in good shape Tom.
Tom Diffely: Great and that's very helpful. Thanks for the questions.
Kevin Brewer: Yeah, thank you.
Operator: Your next question comes from the line of Mark Miller with The Benchmark. You may now ask your question.
Mark Miller: Thank you for the question. Congrats on your progress. Were there any shares repurchase last quarter?
Kevin Brewer: There were not, Mark. So, the program that was in place last year was suspended in Q1, they did not put that back in place. And then the Board approved the new program for this year $100 million. And as a reminder, the prior program was $50 million and we had spent about $25 million in purchasing shares prior to putting that on hold.
Mark Miller: You've indicated recovery in the auto sector. I'm just wondering if that's starting to accelerate, because there's been a lot of talk about chip shortages facing the auto manufacturers. And just wondering if that's really starting to accelerate significantly?
Doug Lawson: Mark, can you repeat the question? I heard the chip shortages, but I wasn't sure what the front end was?
Mark Miller: Well, there's some reports, the auto manufacturers are facing chip shortages. I'm just wondering, you said there was recovery going on the auto is that starting to really accelerate as a quarter went on?
Doug Lawson: We've started to seeing a pickup last quarter, it's we see it in a few different areas. We see it in the power device area which started to strengthen last quarter. And we see that continuing to grow throughout the year. The image sensor market is a big piece of the automotive world these days. And that's been strong and it's hard for us to tell exactly what's going to automotive versus phones and other image sensor applications. And then the general foundry which - general mature foundry which is what's really all in the press these days, where everybody's talking about $0.20 parts keeping lines down, that's that whole foundry, mature foundry market has been strong. Utilizations in that segment have been very high. And so, that's been a big piece of our business over the course of 2020 as people bought all the consumer electronics and PCs and so forth. And that will continue now that you start layering automotive on top of it.
Mark Miller: Thank you.
Operator: Your next question comes from the line of Quinn Bolton with Needham & Company. You may now ask your question.
Quinn Bolton: Congratulations on the nice results. Just wanted to ask maybe I missed it. But did you say which of the six eval tools have been accepted for revenue recognition or will be accepted for rev rec in the March quarter?
Mary Puma: No, we didn't say which one would be accepted in Q1. And we didn't talk yet about the new one that will be going out in the quarter, either. So, we'll give more color on that as we progress through the quarter and into next quarter.
Quinn Bolton: I think it was Tom's question that you've already received repeat orders for that eval tool that was closed?
Mary Puma: We have. I guess the only additional color I'll give around it is for an image sensor application and we'll just leave it at that.
Quinn Bolton: Thank you, Mary. The second question I had is, from the CS&I strength in the fourth quarter, it looks like perhaps here, you're not subject to export controls for that part of the business. Just wondering if that's the right read? And given the very strong level of $58 million, is there a risk that, that customer doesn't purchase for some time and CS&I revenue could actually come in below $42 million at some point as that customer digests inventory of spares?
Kevin Brewer: Yeah. I'm not worried about that. I think that the customer who did a lot of buying is also running at a very high utilization rate. And we have shipped a number of tools there. And I think, they obviously, they're probably putting more parts in the shelf, but I think they're going to continue to buy anyway. And as the business grows around this, we had strength across the board. I psyched out that one customer, but there's continued strength across the board. So, I think, the $42 million number that we put out there the model to is the right number to be using. I don't see any downside risk to that.
Quinn Bolton: And just lastly, Kevin, for the $100 million share repurchase program, can you give us any sense, is that going to be under 75.1? Will you be sort of in the markets on a consistent basis, so you're going to try to be opportunistic, any sort of thoughts on how that $100 million buyback is executed this year?
Kevin Brewer: Yeah, Quinn so we'll use the 75.1 which is similar to what we did on the program last year that we were executing under. And beyond that, whether we're opportunistic or not, I mean, it's a - it'll be a Board approved read that we buy to and, I think, the board and management realize that, we should be returning cash to shareholders through some type of program which we agreed as a fairly focus. So, I'm not going to say how much we're going to spend, because right, I mean, we put it out there; we could spend it all or a good portion of it. I guess what I'll leave you is we realized that we need to really use it utilizing this program, so again, that Quinn is…
Quinn Bolton: No, I know you're imitating. Yeah, I know you can't give it too much on timing or amounts. But thanks for the color that you provide. And that's it for me. I'll go back in the queue. Thank you.
Kevin Brewer: Yeah, thanks.
Operator: All right. We have no question at this time again. [Operator Instructions] This concludes the Q&A portion of the call. I will now turn the call back over to Mary Puma, who will make a few closing remarks.
Mary Puma: I'd like to thank everyone for joining us today and we hope to talk with you virtually at the upcoming investor events. We will be participating in Susquehanna Financial Group's 10th Annual Technology Conference in March. We expect to conduct several virtual MDRs during the quarter as well. We thank you for your continued support and please stay healthy.
Operator: This concludes the presentation. Thank you for your participation in today's conference. You may now disconnect. Good day everyone.